Operator: Good day, and thank you for standing by. Welcome to The Pennant Group's Second Quarter 2024 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Kirk Cheney, Corporate Secretary. Please go ahead.
Kirk Cheney: Thank you, Ripka. Welcome, everyone, and thank you for joining us today. Here with me today, I have Brent Guerisoli, our CEO; John Gochnour, our President and COO; and Lynette Walbom, our CFO. Before we begin, I have a few housekeeping matters. We filed our earnings press release and 10-Q yesterday. This announcement is available on the Investor Relations section of our website at www.pennantgroup.com. A replay of this call will also be available on our website until 5:00 p.m. Mountain Time on August 6, 2025. We want to remind anyone who may be listening to a replay of this call that all statements made are as of today, August 7, 2024, and these statements will not be updated after today's call. Also, any forward-looking statements made today are based on management's current expectations, assumptions and beliefs about our business and the environment in which we operate. These statements are subject to risks and uncertainties that could cause our actual results to materially differ from those expressed or implied on today's call. Listeners should not place undue reliance on forward-looking statements and are encouraged to review our SEC filings for a more complete discussion of factors that could impact our results. Except as required by federal securities laws, we do not undertake to publicly update or revise any forward-looking statements where changes arise from new information, future events or for any other reason. In addition, The Pennant Group, Inc. is a holding company with no direct operating assets, employees or revenues. Certain of our independent subsidiaries, collectively referred to as the service center, provide accounting, payroll, human resources, information technology, legal, risk management and other services to the other operating subsidiaries through contractual relationships. The words Pennant, company, we, our, and us refer to The Pennant Group, Inc. and its consolidated subsidiaries. All of our operating subsidiaries and the service center are operated by separate independent companies that have their own management, employees, and assets. References herein to the consolidated company and its assets and activities as well as the use of the terms we, us, our, and similar terms do not imply that The Pennant Group, Inc. has direct operating assets, employees, or revenue or that any of the subsidiaries are operated by The Pennant Group. Also, we supplement our GAAP reporting with non-GAAP metrics. When viewed together with our GAAP results, we believe that these measures can provide a more complete understanding of our business, but they should not be relied upon to the exclusion of GAAP reports. A GAAP to non-GAAP reconciliation is available in yesterday's press release and is available in our 10-K. With that, I'll turn the call over to Brent Guerisoli, our CEO. Brent?
Brent Guerisoli: Thanks, Kirk, and welcome, everyone, to our second quarter 2024 earnings call. Following a robust first quarter, we are thrilled to report record-breaking second quarter results as we continue to experience momentum across each of our service lines and create meaningful growth opportunities for local leaders and teams. Our financial performance and growth trajectory reflect the consistent effort we have applied to every aspect of our business through our 5 key focus areas: leadership development, clinical excellence, employee engagement, margin, and growth. We have been talking about these initiatives on our earnings calls for many quarters, but the tangible financial fruits of these efforts are now coming to bear. In Q2, we generated revenue of $168.7 million, adjusted EBITDA of $13.2 million and adjusted earnings per share of $0.24, each exceeding the top end of consensus. These results are the product of a relentless focus on fundamentals, steady incremental improvement, and a prudent yet proactive approach to growth as we build a leadership pipeline. They also demonstrate the firm foundation we have laid over the last several years and upon which we are now positioned to build. We are experiencing an exciting time in our history as both organic and acquisitional growth are at all-time highs. This period of expansion provides insight into our potential as a provider of choice in our local communities, a best-in-class operator across our industries, and a disciplined yet bold growth company with the sophistication and adaptability to become a key solution in the health care continuum. Since the beginning of the year, we have entered into the Muir Home Health joint venture, closed an additional 2 Home Health and 2 Hospice transactions, initiated a management agreement with Hartford HealthCare, announced the largest acquisition in our history in Signature Healthcare at Home and completed 3 senior living deals, 2 of which included the purchase of real estate assets. In the process, we've added more than 2,200 lives under the Pennant umbrella through acquisitions and organic growth, along with approximately 4,000 lives under the Hartford management agreement. Collectively, this represents a greater than 50% increase in the number of lives we touch each day as compared to the end of 2023. And this does not include the impact of the Signature transaction, which will add an additional 2,500 lives. Last week, we also announced our newly upsized revolver, which increases our borrowing capacity to $250 million and improves the covenant and other loan terms. This amended facility further reinforces our balance sheet and, together with our strong operating cash flow, creates significant dry powder for future growth. This transaction was completed with a syndicate of banking partners whose commitment demonstrates their continued confidence in Pennant's growth strategy. As announced in yesterday's press release, we are raising annual guidance based on the momentum in the business, the operations we have added or expanded and the significant upside we know remains in our existing operations. We anticipate full year revenue in the range of $654 million to $694.5 million and adjusted earnings per share in the range of $0.89 to $0.95. The midpoint of $0.92 represents a 5.7% increase over our original 2024 guidance, a 26% increase over our 2023 adjusted earnings and a 61.4% increase over our 2022 adjusted earnings. With solid performance across the portfolio, capable leaders ready to seize opportunities and a healthy balance sheet, we are excited for the remainder of 2024 and beyond. With that, I'll turn the call over to John to provide more detail on our second quarter operational results.
John Gochnour: Thank you, Brent, and good morning, everyone. We are pleased to report inspiring clinical and operational results driven by local leaders across Pennant. We have continued to execute at our existing operations even during a period of record-breaking growth. In our Home Health and Hospice segment, we experienced strong organic growth, successful transitions, improving margin, and excellent clinical outcomes. Top line segment revenue was $125.3 million, an increase of $30.3 million or 31.9%, and adjusted EBITDA was $19.6 million, an increase of $5.2 million or 36.3%, each over the prior year quarter. On the Hospice side, we continued to make exceptional progress. Hospice revenue was $59.3 million, an increase of $12.8 million or 27.5% over the prior year quarter. Hospice admits rose 31.4%. Average daily census rose 29.1% and length of stay increased 4.3%, each over the prior year quarter, which more than offset a 2.6% reduction in revenue per day over the same period, driven primarily by census growth in states with lower per-day reimbursement. The growth flywheel continued to turn at our mature operations as same-store admissions grew 15.3% and ADC increased 14.8%, each over the prior year quarter. This double-digit growth reflects the latent potential across our portfolio as our mature operations continue to become a provider and employer of choice in the communities they serve. Our Home Health business experienced similar progress. Home Health revenue grew to $66 million, an increase of $17.5 million or 36.1% over the prior year quarter. Total Home Health admissions increased 35.4% and Medicare admissions increased 18.3%, each over the prior year quarter. Revenue per episode increased 6.6% over the prior year as we admitted more patients in higher reimbursement states along the West Coast, diversified our referral source pipelines and effectively managed episodes at the local level. Much like our Hospice business, our mature Home Health operations continued their impressive growth as same-store admits increased 18.6%, Medicare admits increased 6%, and revenue per episode increased 2.9%, each over the prior year quarter. Even as we welcome new operations with lower average quality ratings, our clinical quality remained excellent with an average CMS star rating of 4.1 compared to the national average of 3.0 and a reported acute care hospitalization rate of 13.3%, which compares favorably to the national average of 14.1%. We also remain focused on CMS' Home Health Value-Based Purchasing program, where we are monitoring our performance against the value-based purchasing criteria and expect to experience positive revenue impact at our mature operations. On the regulatory front, CMS recently issued its final hospice rule with a 2.9% increase in revenue per day versus the 2.6% increase it initially proposed. As applied to Pennant, our modeling of the rule's impact anticipates an increase in our revenue per day of 2.93%. In late June, CMS issued the proposed 2025 home health rule, which applies a negative behavioral adjustment of 4.1% offset by a market basket increase of 2.5%, yielding a projected net negative impact of 1.7%. We are disappointed in CMS' proposal, which uses flawed methodology and does not reflect the ongoing and significant increases in the cost of providing valuable home health services. Since 2013, revenue per home health patient has grown approximately 10.2% while the consumer price index has increased 36.5% over the same period. These conflicting trends have already begun to threaten access to care and push patients into more expensive and less appropriate care settings. Along with our industry partners, we will advocate aggressively for CMS to acknowledge the important role that home health services play in reducing the nation's aggregate Medicare spend. As we address this challenge, we are mindful of the fact that CMS' 2024 proposed rule was similarly bleak with an initial deep cut. But after further consideration, CMS finalized a more reasonable and slightly net positive rate update. Whatever the results of the 2025 final rule may be, our local operators will remain focused on operating and controlling the things they can control. Our operating model has proven adaptable through periods of reimbursement challenge. We know the need for our services and the value they provide to our patients and the post-acute care continuum. And we will resolutely work to pull the right cost management levers and grow in this ever-changing reimbursement environment. Our Senior Living segment is stable and growing as revenue improved to $43.4 million, an increase of $6.2 million or 16.6% over the prior year quarter. Adjusted EBITDA improved to $4.1 million, up $0.5 million or 14.8% increase over the prior year quarter. Same-store occupancy remains strong at 79.2%, and average monthly revenue per occupied room rose to $4,753, an increase of $363 or 8.3% over the prior year quarter. Our occupancy rate growth remained steady with an overall increase of 80 basis points and a slight softening in same-store occupancy of 40 basis points, each over the prior year quarter, as we continued to focus on rate and revenue quality. Our investment in recruiting and developing strong local leaders underpins these financial improvements, contributing to the segment's operational maturity. Quality leadership is central to our operating model. And as leaders deepen their experience and continue to execute on the fundamentals of the business, we expect ongoing acceleration in performance. As Brent discussed, in 2024, we have accelerated our pace of new acquisitions and partnerships. Our ability to acquire and transition new operations while also executing successfully at our existing operations is made possible by the significant investment we have made to recruit and develop leaders and build strong clusters and markets. We do not have a typical centralized acquisition team. Instead, we rely on a decentralized model that encourages local leaders to make acquisition decisions with the support of expert resources. Robust local clusters facilitate growth even as we transition new operations in 1 market. Leaders in other markets have independent bandwidth to tackle additional opportunities. Our management agreement with Hartford HealthCare represents an exciting step in our development as a key partner to leading health systems. Pennant will manage and support the Hartford HealthCare home business with over 1,000 employees and which generated more than 33,000 home health admissions and 4,000 hospice admissions over the 12 months preceding the agreement. Pennant will receive a management fee for its services, which will include the sharing of our unique operating model, training and development of leaders, implementation of our technology systems and operational best practices, along with support for IT, HR and related back-office functions. The scale of this collaboration is significant and it allows us to meaningfully invest in creating an East Coast service center. As we work with Hartford HealthCare to strengthen and grow its home health and hospice business, we also have the opportunity to share in the value we create and build a strong presence with the potential to expand to other communities in the eastern United States. We look forward to collaborating with Hartford HealthCare to innovate and improve access to home health and hospice services in Connecticut. After quarter end, we announced the acquisition of Signature Healthcare at Home, a leading provider of home health and hospice services in the Pacific Northwest. The first stage of this transaction, which includes Signature's operations in Idaho and Washington, closed on August 1. And the second stage, the Oregon operations is expected to close on January 1, 2025 after certain regulatory approvals are completed. We are excited to welcome the Signature operations to the Pennant family. We have immense respect for Signature and its leaders with whom we have developed a relationship over several years, ultimately leading to this unique opportunity. This strategically important acquisition grows our presence in Washington, a certificate of need state, and complements our existing footprint in Oregon and Idaho. Signature has a well-earned reputation for clinical excellence and is a prominent provider in its markets. The future is bright in the Pacific Northwest as we combine Signature's legacy with Pennant's unique operating model and existing strength in the region. With that, I'll hand it over to Lynette for a review of the financials. Lynette?
Lynette Walbom: Thank you, John, and good morning, everyone. Detailed financial results for the 3 months ended June 30, 2024, are contained in our 10-Q and press release filed yesterday. For the quarter ended June 30, 2024, we reported total GAAP revenue of $168.7 million, an increase of $36.4 million or 27.6% over the prior year quarter, GAAP diluted earnings per share of $0.18 and adjusted diluted earnings per share of $0.24. As a reminder, we do not issue quarterly guidance, but our 2024 full year guidance was total adjusted revenue between $596.8 million and $633.7 million, adjusted earnings per diluted share between $0.82 and $0.91, and adjusted EBITDA between $46.2 million and $49.7 million. Our year-to-date results put us on pace to exceed the top end of our full year guidance. Accordingly, we are revising and raising our full year 2024 guidance as follows: full year total revenue is anticipated to be between $654 million and $694.5 million. Full year adjusted earnings per diluted share is anticipated to be between $0.89 and $0.95. And full year adjusted EBITDA is anticipated to be between $50.7 million and $53.8 million. This updated guidance incorporates current operations and organic growth, diluted weighted average shares outstanding of approximately 30.7 million and a 25.8% effective tax rate. It anticipates continued strong operating performance through the end of the year, hospice reimbursement rate adjustments, increased interest expense and contributions from our joint ventures and management agreements. It excludes unannounced acquisitions, the announced purchase of Signature's Oregon assets, start-ups, share-based compensation, acquisition-related costs or onetime implementation and unusual items. As detailed in our 8-K filing dated August 1, 2024, Pennant has entered into an amended and restated credit facility that, among other changes and improvements, increase the total amount of the facility from $150 million to $250 million. The amended facility also reduces the interest rate for drawn loans by 50 basis points and increases the maximum leverage ratio from 2.5x under the prior facility to 3.25x under the amended facility. We anticipate that our leverage ratio after completing the Signature acquisition on January 1, 2025 will remain well within our leverage covenants. Key metrics for the 3 months ended June 30, 2024, include: $83 million drawn on our revolving line of credit and $3 million in cash on hand at quarter end; a 1.7x net debt to adjusted EBITDA ratio; and cash flows provided from operations of $11 million year-to-date, including $10.5 million in Q2. I would now like to spotlight a few leaders in our organization who have achieved exceptional results. Their stories demonstrate the remarkable progress that can occur when local leaders build strong culture to develop high-performing teams of C-level leaders in their operations. Future CEO Kelsey Sly, CEO Tim Johnson, CCO Tina McMahon, CRO Jose Shimokowa, and CMO Constance Houston have driven remarkable progress at Seaport Scripps Home Health, our joint venture with Scripps Health in San Diego, California. This joint venture shows how strong culture and dedicated partnership can drive clinical innovation, including the use of technology to reduce rehospitalizations, the development of specialized clinical programs, the establishment of strong continuums of care to ensure quality outcomes and an excellent patient experience. As a result, Seaport Scripps has become a critical community resource, driving excellent clinical results and organic growth, including a real-time star rating of 4.5, a 15% increase in admissions over the prior year quarter and improved Medicare mix. In the first half of the year, the Seaport Scripps team weathered significant changes in the San Diego health care community, including the loss of a primary payer and changing referral source dynamics, to emerge stronger than ever. In the second quarter, the team achieved a 30% increase in revenue and a 200% increase in EBITDA, each over the prior year quarter. In Wisconsin, future CEO Jamie Thiel; and clinical leaders Brittany Stedman and [Tricia Hoyt] lead a cluster of communities in the Fox Valley area of central Wisconsin, which includes 4 smaller senior living buildings. Having previously served as a key clinical leader in these communities, Jamie accepted an operational leadership role in 2022. Jamie continues to drive substantial improvements in these mature operations and create value in the local community. By elevating culture and providing excellent care, they have become communities of choice as demonstrated by their 98% occupancy rate, which has improved from 94% in Q2 of 2023. Financial success has followed with the revenue growth of 13% and EBITDA growth of 85%, each over the prior year quarter. Jamie and her team have demonstrated the marked improvements that can occur even at already well-performing operations through consistent focus on culture and the application of our operating model. With that, I'll turn the call back over to Brent for concluding comments.
Brent Guerisoli: Thanks, Lynette. Before we transition to questions, I want to take a moment to thank all of our amazing employees across the organization. This period of exceptional growth would not be possible without the thousands of dedicated individuals across the Pennant footprint who are at the heart of our success. We continue to demonstrate industry-leading clinical and financial performance because of their commitment to providing life-changing service each and every day. With that, we'll open it up for questions. Ripka, can you please instruct the audience on the Q&A procedure?
Operator: [Operator Instructions] Our first question comes from the line of Ben Hendrix of RBC Capital Markets.
Ben Hendrix: I was wondering if you could provide us a little bit of context or your early thoughts on the time line for the Signature integration. I realize it's being done kind of in 2 slugs. And just wanted to get your thoughts on kind of the big key milestones for integration, whether it be leadership implementation, G&A synergies. And kind of what are the key milestones for getting us from kind of a high single-digit margin to your kind of corporate run rate margin?
John Gochnour: Yes, Ben, thanks for the question. We're so excited about this opportunity to partner with Signature in Washington, Oregon, and Idaho. The first phase of the transaction, which already closed August 1, included the Washington and Idaho assets. That added about 1,000 home health patients and about 30 hospice patients across those -- that portfolio. And we're really focused right now on integrating from a system standpoint and making sure that we have the right leaders in each seat on those first teams. And so that's the kind of first bedrock foundational thing that we're looking at is making sure that those first teams are constructed in the Pennant model and that those leaders have the right training to be able to thrive. We will then move to sort of the implementation with the Oregon assets at the beginning of the new year. And that will kind of precipitate the larger system transition on the EMR side. And so that will be the big push during the first quarter of next year is to make sure that all of those agencies transition effectively and successfully to Homecare Homebase. But really, our focus right now is making sure that we have the right leaders, that those leaders are trained and prepared in the Pennant model and that they're ready to thrive. And I think you'll start -- you'll begin to see synergies and improvement in margin gradually through the end of the year and really accelerating as we influence our instance of Homecare Homebase and our technology stack in the first quarter of next year and into the second quarter.
Ben Hendrix: Just to clarify, is Signature already on Homecare Homebase, just a different instance?
John Gochnour: That's correct. They're on Homecare Homebase, just a different instance, and so that was an important part of this transition.
Operator: [Operator Instructions] Our next question comes from the line of Scott Fidel of Stephens.
Scott Fidel: Actually just wanted to keep on that same topic on Signature. And just because there are the 2 tranches and so there's a little bit of nuance in the modeling and I appreciate some of the stats that John already gave, but thought it might be helpful if you can maybe just sort of break down, when thinking about the tranche 1 that's getting done this year and then the tranche 2, what the revenue split is between the 2? And then also the EBITDA split or maybe if you want to talk about sort of how the margins maybe vary between those 2 tranches at closing. Obviously, you're going to look to get the margins up to your standards across both of those tranches. But curious if you could just sort of give us the revenue and EBITDA sort of splits between the 2 tranches.
John Gochnour: Yes. It's about 2/3 and 1/3 as far as the revenue goes with the bigger portion being the Signature Oregon assets. That's where a similar number of hospice -- or a similar number of home health and then a much larger portion of their hospice is located down there in Oregon. And so that hopefully gives you some insight into the revenue split. When we factor it into our guidance, I'll let Lynette speak to a little bit how we're factoring Signature Washington into our guidance for the remainder of the second half of this year.
Lynette Walbom: Yes. For the remainder of the year, we have about $9 million in revenue factored into our current revenue guidance with about an 8% to 9% EBITDA margin on that revenue.
John Gochnour: And Scott, I think you'll see a little higher margin from the Oregon portion of the business just because it has that hospice component. But our goal is really to continue to move that business towards our traditional target margins. And the way we will do that is through our sort of normal approach, right? First, implementing our operating model, supporting the exceptional leaders and the new leaders that we'll place with an outstanding group of resources, helping to look at everything from the revenue side of the business to the expense management side of the business. And then most importantly, helping them to grow and continue to become the employer of choice and provider of choice in each of those communities that they serve. So it doesn't happen overnight. We talk a lot about how our traditional process takes about 9 months to optimize a business. This is a healthy business. It's got a great team, really fantastic clinicians, dedicated. And so this will be an opportunity for us to come in and support them in a new way, provide them additional technology, provide them a unique operating model that will help them accelerate results.
Scott Fidel: Okay, got it. Very helpful data points. Appreciate that. A follow-up question then just sort of thinking about the revised guidance for this year. And I think the detail you just gave us on Signature really does reinforce how much of the raise this year does seem to be coming from sort of the existing core operations. And so on that note, certainly seeing strength really across all 3 business lines. Hospice has been firing on all cylinders, it feels like, but the Home Health growth also very outsized versus the market and, then SL also showing good growth. So just I thought it might be helpful as well when you sort of think about the raise to the existing business, if you can maybe sort of give us some nuance into how that maybe breaks down between the 3 business lines.
John Gochnour: Scott, as we looked at it, basically, what you have is we've had a real period of outperformance. We're significantly ahead of where we expected to be, growing Hospice census by 30%, Home Health census by nearly 30%. Our Senior Living business, our revenue there is up 16%. It's just really been an outstanding start to the year. And so as we have modeled out the remainder of the year, our trends remain strong, and our focus is on continued execution. Continued execution on the transitions that we've been working on since really March of 2023 through now. We've closed nearly an acquisition a month. And that's all factored into our new store. And so you see this strong performance in our same-store operations, which is really about half of our growth, and then we've layered on accretive transitions that have really sort of shown the fact that for a while there during the pandemic, those turns were taking longer than they traditionally have for us. And I think what we've seen over the course of the past year is we've been able to move those businesses maybe from underperforming or where they were at when we acquired them into performing assets that are contributing to our results. And so as we look out, we anticipate this momentum is going to continue. We continue to see strong admission momentum. We continue to see our agencies and operations being chosen as the provider of choice in our communities. We also anticipate that our Senior Living business is going to continue to get stronger. We've had really a remarkable run in that business over the last 1.5 years as that group of operators, as we called out in the script, has really settled in and done making gradual progress towards our target margins. And so we see continued growth on the Senior Living side with improved margin as we go. We see continued growth on the Home Health and Hospice side at our same-store operations. We see the transitions that we've done, particularly some of these larger deals sort of layering on to that, and that's what's contributing to the guidance raise. And we feel like in all honesty, there's still even more potential there. And so we're going to keep working hard to execute through the growth.
Scott Fidel: Okay, great. And then just 1 last question if I could sneak it in. I thought it also might be helpful just given some of the moving pieces if you wanted to give us some insight into sort of modeling the leverage ratio or just sort of how much of the tapping of the revolver you expect just as you fund these transactions as the EBITDA is going to be ramping. So to the extent that you maybe are thinking about where leverage sits at year-end and then sort of how that evolves towards then sort of getting reduced effectively as you complete out the second tranche and drive those margins off in -- so sort of thinking about leverage at year-end '24 and then at a steady state after the deal is fully completed for both tranches.
Lynette Walbom: Yes. On the leverage front, when we look at what will be at the beginning of 2025 when we complete that, the rest of the Signature transaction is kind of between that 2 to 2.5x leverage ratio. Again then as we have strong cash flow from operations, what we're expecting, that would continue to drop throughout the year back down to our more normalized under 2x and continuing to go from there. We still plan on having incremental acquisitions through that time and so that will play a piece in there. And again, as we don't include those acquisitions in our model until they're going to happen and we are very strategic as to what acquisitions we're going to do, there will be some impact on the operating cash flow, use of operating cash flow to pay down as we bring on other acquisitions through that time frame as well.
Operator: I am showing no further questions at this time. I would like to turn it back to Brent Guerisoli, CEO, for closing remarks.
Brent Guerisoli: Thank you, Ripka, and thank you, everyone, for joining us today. Have a great day.
Operator: Thank you for your participation in today's conference. This concludes the program. You may now disconnect.